Operator: Good morning, ladies and gentlemen, and welcome to the freenet AG Conference Call on the Preliminary Results for the Financial Year 2025. At this time, all participants are on a listen-only mode. The floor will be open for questions following the presentation. Let me now hand over to Robin Harries, CEO of freenet AG.
Robin John Harries: Good morning, everyone, and welcome to our earnings call. I'm Robin Harries, the CEO of freenet. Overall, we are happy about the operational performance and the strong customer growth. We see many opportunities ahead of us, but we are not happy about agreement with the network provider that we have, which was closed in '24. This agreement might lead to a minus EUR 13 million impact in '25 and to up to EUR 50 million negative EBITDA impact for the year '26 to '28. We are at the moment in discussions with the management of the network operator and are negotiating, trying to negotiate a better deal. This is already -- so the risks that I mentioned are already reflected in our numbers. So we are in ongoing discussions and we'll provide an update as soon as we have something. Freenet becomes more lean, focused and effective. We did some nice strategic moves in the last years. One is that we streamlined the executive board. This made us faster, more efficient and we have a clear focus. We optimized a lot in terms of marketing and sales initiatives. We have a clear focus on KPIs and performance. I think we created a lot of transparency within the organization, streamlined the focus. Everybody is on board here and is delivering, and this is I think quite good. And then we acquired the mobilezone last year, and this was one of our competitors, and we are happy about that as well. Another strategic move was that we have started a customer value management project, and this is a really a high-impact project. At the moment, our conversion rates are not great yet, but I think we have a lot of potential here. So when we compare our churn rates with competitors, we are at the moment behind, and this is potential. Because if you think about reasons why customers leave network operators, companies, the top 2 reasons are: first, they find a better deal somewhere else, and the second one is that they are not happy about network performance. Both of these things, I think, doesn't make a lot of sense when you look at freenet, because we have really great deals and we are able to offer products on all networks. So our churn rate should be good. So that's why this project is really important. We made big progress. So we are working on over 50 initiatives. And this quarter or this month, we will bring live our first AI voice bot in the customer service, and we have another AI tool for our call center agents, which will facilitate the selling process. And we are quite confident that we will have -- that we will see better outcomes here in the near future. We have some really great operational highlights. We achieved an all-time high in terms of postpaid net adds. We achieved over 300,000 organic postpaid net adds. When it comes to waipu.tv, that's -- there we achieved over or around EUR 36 million adjusted EBITDA. This is also a big step forward. In the past, we could prove that we can achieve strong customer growth there. Now we also proved that we can become profitable and show nice EBITDA. And we have a record dividend proposal of EUR 2.07. Now let's dive deeper into the mobile segment. We have -- our strongest brand is Freenet and the second one is klarmobil. And we put now a lot of focus on freenet. This is our premium brand. We changed a lot over the last month. For example, we moved the freenet offerings from the domain freenet-mobilfunk.de to freenet.de in the end of January. And so we prepared it over the course of last year. And yes, so this will be our premium brand. We will put our money on freenet. So today starts a new TV campaign and we also invest into digital out-of-home. That's important. We also shifted our marketing budgets to performing channels. We stopped the stuff that doesn't really work and now invested where we have a direct sales impact. And we will invest into our brand and that's a nice opportunity when you look at unaided brand awareness and brand awareness -- aided brand awareness. You can see that many people in Germany know the brand freenet, but when it comes to unaided brand awareness, our numbers are still very low and far below the competition, and that's a huge opportunity. So by investing into brand marketing, so we will be able to increase this, and I think this is also a nice upside potential. Beside our premium brand, freenet, we also launched new branded shops, Unlimited Mobile and Mobilfunk.de. We have a nice portfolio of brands that we position on various platforms and target specific user groups. I think this works quite well. We also relaunched our freenet FUNK app. And what's also very interesting and important is that we started our partnership with 1&1. At the end of last year, we had the first tests in selected shops where we started to sell also 1&1 mobile plans, and this test was very successful. We could achieve incremental sales. That's important for us that we not just replace one partner with another. No, we were able to really generate incremental sales. The partnership with 1&1 I think is very good. We are in the process of scaling this partnership now and roll it out to more and more shops. We have very good relationship to them, also to our partners, Vodafone and Telekom. So I think that we are very well positioned in the market, we showed that we can grow where we're strong, and yes, now we are further optimizing it and scaling the things that work. And the acquisition of mobilezone was also one important step. We could add even more brands, and this will further strengthen our market position. We have -- we are very dominant now on certain channels, and we could also add more marketing channels. And we will grow together as one organization. This will lead to nice synergies, the mobilezone team, very smart, very dynamic, moving fast. So I think that's a very good and cultural fit. The teams already work together closely, and we expect further potential there. On the next slide, this is a really important slide because you know that there's a lot of price competition in the market, a lot of pressure. And what you can see here is the freenet and frontbook pricing over the course of the last 2 years. And you could see that beginning of '24, it went down a lot, also beginning of '25. However, in the end of '25, we were able to do -- to increase it again. This actually is I think very important for us and for the market, and we could already see it during the Cyber Week. This is always a period where it, in the previous years, it became even more aggressive. This was not the case this year. We even increased our prices. This is also what we are doing at the moment. So we keep increasing our prices. We see that this works. In the last 6 months, we tested a lot or we did a lot of elasticity tests on our marketing and sales channels, that we showed our models. We could see that we can achieve very, very strong growth in terms of customer growth, new customer growth. But for us, it's more important to actually do this on a really healthy basis. That's why we started -- in Q4 last year, we started to increase prices, and we'll keep doing this. So for us, it's -- and quality is more important than quantity, and we put a lot of focus on it. So the guidance for '25 was moderate decrease, and this will be still the case for '26, because even though we increase frontbook pricing, we still have impacts from our customer base, and this will take some time. But I think it's very important that we see a shift here and that we will keep focusing on quality and try to further increase prices. On the next slide, you can see that we really gained momentum in the end of last year, we achieved all-time high customer growth, 306,000 customers, this is really outstanding result. And on top of that, we also could add 240,000 net adds from the acquisition of mobilezone. So this led to 546,000 postpaid net adds. So we outperformed our guidance here, which is great. And on top of that, there are also still 95,000 subs from base and tariffs. So overall, I think in the mobile segment, strong growth, many opportunities through our customer value management and through AI, also the marketing channels, and we just started there. I mean, last year, the TV campaigns, we started with klarmobil, now with the move to freenet.de. We also switched our marketing campaigns to freenet, to our core brand. And this is what we are -- that we want to scale this year and also afterwards. Next slide. This is our TV and media business. Media Broadcast shifted to segment orders. In Q1 '26 onwards, here you can see the freenet TV subscribers. The decline continues. And however, we have some stabilization measures. So we increased prices, we introduced a Hybrid TV stick, we prolonged a content contract, so we are working on this side as well. This segment, we also have waipu.tv and the IPTV market grows continuously. It's a strong market. Also the position of waipu.tv is very strong in this market. It was 20% to 25%, and the market will continue to grow. I mean, we are very well positioned in the competition. The product is very strong. When you look at ratings, when you look at reviews, it's an outstanding product, and we believe that we will further grow here and the market will further grow. So this is I think a very good market to be in. On the next slide, you can see our organic growth. We did some cleanups during the last quarters. We always talked about the O2 impact. And so here in this view you can see that now we deducted it, so we cleaned it. And now we have with 1,755,000 customers. We have now a clean base, because we deducted the O2, the O2TV customers. I think the migration will be finalized during this quarter, but we already deducted them in order to have a clean base. And we also deducted further unprofitable subs. So this brought us to the new and clean base. Overall, I think the growth was 152,000, is healthy. And beside this, we could show that we increased the profitability a lot and reached EUR 36 million adjusted EBITDA besides this nice growth. So on the next slide, you can see our priorities and the guidance for full year '26. Our focus areas are to strengthen the freenet brand. We will keep investing into our brand, into performance-based brand marketing campaigns. We have experience with it. It's important to have a clear branding and messaging impact of our campaigns. And then we will further develop our customer base value management and work on our initiatives. We will further optimize the conversion rates on our website. At the moment, when you go to freenet.de, you can see that we moved the domain, but there's still also a lot of room for further improvements in terms of user experience and page speed, conversion rates. So we are working on this. There will be further updates in the next months, which will also lead to further sales potential. And we will keep integrating the mobile phone channels. We work closely together with the teams. We will also reaccelerate the waipu.tv growth and the customer base. So we are -- we see potential in the market. We see potential through the product very good product. And we -- our objective is to become the AI telco company in Germany. So we started our projects in the customer value management, but we will also roll out AI tools to all different areas. It's -- for us, it's really important. We see that this is a huge path. Our guidance for '26 in terms of postpaid subs and moderate growth. I said that we have many opportunities here. But here, for us, it's the ARPU, the quality is more important. So we -- I think we showed that we can grow. We can outgrow the market. But for us, quality is more important. And postpaid ARPU, we expect still a moderate decline because of the impact of the customer base. However, we believe that the pricing for new customers that we are quite confident. In waipu.tv, we expect noticeable growth. With that, I hand over to Mr. Arnold.
Ingo Arnold: Yes. Thank you, Robin. So I'll start with the group financials. So yes, to be honest, at the beginning, I'm disappointed by the figures, especially because there's one effect. I think all the figures are quite fine. The performance was quite fine during the year. And a lot of initiatives, what Robin was talking about, they worked quite fine and quite well. And then there is one effect now, which is a little bit disturbing, the picture here, but coming to the details further on. So if we look into the revenues here, yes, I would say, it's nearly stable. What we see here, we sold this WiFi business, which was called the cloud. We sold it mid of the year '25. This was an effect, especially in the second half of the year. If we look into the Q4 revenues, we see the effect from the cloud, the missing revenues. On the other side, if you remember, last year, we sold these IP addresses in Q4 last year, which was a positive effect in revenue of nearly EUR 20 million last year. So more or less, the miss in the revenues in Q4 is explained by these 2 reasons. I think what is important that revenues from high-margin services continue to grow. Switching to the gross profit. Here, what we see, we see a miss in Q4, but we still see that the gross profit is stable. Even with the bad Q4, it is stable for the whole year. What are the effects in Q4? I already talked about the phasing of the sale of IP addresses, which took place in the third quarter in '25 and took place in the fourth quarter in 2024. On the other hand, from the sold business, there was a gross profit contribution last year of something like EUR 5 million. And then Robin was already talking about the effect out of one single MNO agreement, where we chose to be very conservative in our accounting. Robin already mentioned that we are in discussions here, especially about a totally new agreement. These discussions are ongoing. And as we are here, as you know us, we are conservative. We are cautious. Therefore, here in the actuals, we chose to be -- to build up a worst case, and this is what we also did in the figures starting with '26 into the future. Adjusted EBITDA, here again, the reason is this -- especially this MNO agreement, which is a negative effect of nearly EUR 13 million in Q4. What we also saw as a negative effect was this sold business. Again, the cloud, they generated an EBITDA of EUR 2.7 million in Q4 '24. And so if you deduct or if you normalize by these 2 effects, it would be a very good quarter, and it would be a very good full year deeply in the guided range. Moving to the next page, mobile business. We see these -- we see on the one hand, in the revenue in the quarter that we lost some revenues in the segment here, hardware other. It is again this disposal of the WiFi business. But on the other hand, we -- and Robin explained it, we focused or we had to focus in marketing -- in online business, we had to focus on our discount brand, klarmobil. And with the discount brand, klarmobil, I think this is as usual, you do not see a lot of bundles. You see a lot of SIM-Only. So what I do expect for '26 ongoing is that with the new brand, and we just started with the new website, freenet.de, where we can sell the more premium quality tariffs and where we can sell more bundles. I do expect these hardware/other line to increase again. The service revenues, here on this page, not separated the postpaid service revenues, which grew slightly during the year. The miss here in service revenues is based on a reduction in prepaid business. So I think there is still a number of something like 1.5 million prepaid customers, what we do have, but it is reduced step by step. And therefore, we see a reduction of revenues here, but unprofitable revenues. Gross profit in the mobile business, here, you see it even clearer the effect from the conservative accounting of the MNO agreement. So without it and without the effect from the sold WiFi business we would be in the quarter. But definitely, on a yearly basis, we would see at least a stable gross profit. Adjusted EBITDA, again, the same reasons here. I think without the special effect, we would be near to the level -- much nearer to the level what we saw last year, and we would be deeply in the guided range. So moving to some KPIs of the postpaid business. Robin already talked about the growth in the postpaid business. So I think it was a proof of concept in the fourth quarter, especially in the fourth quarter, where we generated this high figure of new customers, but I think also for the full year. So -- but just to make clear here, and I read it from also some of our competitors, but for us, definitely, this is a top priority here for generate customers and to have the priority value over volume. So in the first quarter, I do not expect a comparable figure to what we saw last -- the Q4. But I think this makes a lot of sense because in the middle of this chart we see the ARPU, and Robin already talked about the base effect. We still -- we are happy that the ARPU of the new customers could be stabilized and even increased in the last month. And this is also what we focus on in the first quarter. We try to increase the prices. We would like to have a turnaround here in the ARPU situation. But during '26, it will stay difficult because of the base effect. But I think we are so happy that on the new customer side it was possible to stabilize it now. Digital lifestyle revenues are stable compared to last year. TV and Media, yes, definitely a success story with waipu.tv. Here, this is a page which definitely makes the CFO happy. All figures could be increased, higher revenues, higher gross profit, higher EBITDA, everything inside the range what we guided, even at the upper end of the range, the EBITDA. So I think it's a very good picture. It was possible to prove that waipu could not only grow, but could also generate relevant EBITDA. And so I think it's really a success story what we see. On the next page, financial structure. I think it's no changes to what we had in the other quarters. Still a very low leverage, a very healthy balance sheet. Yes, if you see the debt maturities, it is obvious that we do have to do a refinancing in the first quarter. I think we postponed it to April. It's no reason by market or that it would be difficult, but we will place promissory notes. We just started the process with the banks. So there will -- a refinancing will take place. And I'm optimistic that it will be possible with similar margins what we saw before. Free cash flow, I think we came in -- I think, yes, the EBITDA was lower than expected in our last call because of the now known effect. But all the other buckets are near to what I forecasted during our last call. Net working capital, I think I forecasted minus EUR 45 million. We came in a little bit better. Taxes, I forecasted EUR 60 million. Now we -- EUR 4 million better, EUR 56 million. In the -- on the CapEx side, we instead invested, especially on the AI side, we decided to invest some additional CapEx at the end of the year. Lease, as forecasted. And also, interest nearly as forecasted. And then we have to deduct the EUR 12 million here from the sale of this WiFi business. As you know, we generated sales -- we generated a price of EUR 40 million. So this was the cash in. We are not allowed to show the cash in, in our free cash flow based on our definition. Out of this EUR 40 million, EUR 12 million was relevant for the EBITDA, but we reduced it here again, but the cash is in the company, definitely the EUR 40 million. What we also did to be fair to our shareholders, and we know that a lot of shareholders are shareholders because of our high dividend, and there were some payouts in the second half of the year because we reduced the number of Board members here. And then there were some compensation severance payments, which were necessary in the second half of the year. Yes, it was linked to LTIP programs. This is correct on the chart, but it were compensation payments. And in a normal world, these would not have -- we would not have to pay them in the second half of the year. So therefore, we corrected this figure. And after correcting it, we are on a free cash flow level above EUR 300 million. And on this level, the calculation of the dividend is based and we stick to our promise to pay 80% of our free cash flow as a dividend. This is a calculation now and this leads to EUR 2.07 and the EUR 2.07 will be also proposed to our AGM. And I'm of good mood that they will support it there. Then on the next page, the guidance for '26. I already said that what we built up here in the guidance and also in the ambition for the years, we built up a worst case from this agreement with the network operator where we do have a problem now, where we do have the discussions. And therefore, in the guidance '26 and also in the following years, there is a negative EBITDA effect of EUR 50 million, EUR 5-0 million from this topic. And this is -- and therefore, I think on the first view, the figures may look disappointing. But if you put this into consideration, I think it is clear that basically we believe in the business, we stick to what we promised and we are -- for the underlying business, we are still very optimistic. It is only this one problem what we do have at the moment. And so we had -- we showed in the actual EBITDA of EUR 515 million. You have to add EUR 25 million for mobilezone, then you would have EUR 540 million. But on the other hand, you have to reduce the difference from this network operator agreement. So we already had EUR 13 million in '25 in the figure of EUR 515 million. And so in addition, there is something like EUR 37 million. This is a negative impact. And so therefore, we see EUR 500 million to EUR 530 million on an EBITDA level and free cash flow is corresponding to this. As the free cash flow may be a little bit disappointing. We would like to give some certainty to our shareholders and to make very clear that we believe in the business and that we do not see any negative signs in the business and in the underlying business. And therefore, we decided to promise to pay at least EUR 2 as something like a minimum dividend for the years '26 to '28, payout '27 to '29. But definitely, if the 80% of the free cash flow, what I believe today, if it would be higher than the EUR 2, definitely, this rule is still valid. So maybe these explanations to the guidance here hopefully helpful. Then I would hand over to Robin again to discuss the ambition what we renewed.
Robin John Harries: Yes. Thanks, Ingo. So we updated our ambition. We have -- our 2 pillars are the mobile business and the IPTV business. Mobile, I think we have a healthy market share. We have over 8 million postpaid customers. The big advantage is that we offer all networks. So now we also offer 1&1. I think that's a very good value proposition. We have a multi-brand strategy, and we have strong sales channels. We have our own shops around 500. We have exclusive partnership with MediaMarktSaturn. We start brand marketing in TV. We do connected TV. We have many affiliates, online partners, offline partners. We acquired mobilezone. So this really gives us a very, very strong footprint in the market, and I think it's a very strong position. So we will -- and I mentioned it before, it's not only the new customer growth or the new customer potential that we see through our strong offerings. It's also the improvements in our customer base, and we want to reduce churn. So all of that let us believe that we have a potential to grow here, a stable business. It's healthy. And in our second pillar, the IPTV business, we have a product that is really outperforming the market, very strong, very good reviews. So we have a nice market share there as well, highly recommended and we believe that the market will further grow. And so the customer base will grow. On the next page, yes, so you can see our plans to become a leading AI telco in Germany. Our big advantage is that we are the smallest. So we are much smaller than our big partners and big competitors. And so I think that's an advantage. So we have a flat hierarchy. So we can -- we are very strong in decision-making. We can make decisions very fast and we are doing this. So we did this in the customer value management. So this was started last year. So this month, we already bring the first AI tools and agents live. So we are very, very quick here. And we do this in all different areas in the company. So we have customer care, customer base management, then we also bring our AI tools to our shops. So as I mentioned, we have 500 -- around 500 shops in Germany and the tools that our salespeople there use, they will be -- they will get new tools so that they will get information, which are -- they will get AI information. And this will make the user experience within the shops and the experience for our salespeople much better and hopefully also increase conversions. We also keep investing into our staff. So we are -- we have our people here. They are able to adapt quickly. So they have -- I think we have many, many growth mindsets here. They are able to change. And yes, so this is, I think, whenever you do something like a transformational company, 70%, 80% is people. And here, we are, I think, very strong. So -- and besides these big lighthouse projects, we apply AI wherever we can do this. So for example, when you look about -- or when you think about creatives, how to produce creatives for your advertising campaigns, we want to use AI. And when you look into mobile, so I mentioned it, we have a strong customer base. We have strong offerings. All networks makes a lot of sense to come to freenet and to buy products there. And we improve our customer value management. We use AI. So -- and this will lead to a reduction in churn, and we will also increase our sales after service. So when people call our hotlines and they have a service request, we help them. After that, we will also start to do more sales after service and sell family cards, for example, or waipu.tv. Customer acquisition, so a premium strategy that's important for us. We will focus on Freenet, on our premium brand. And when you look into unaided brand awareness, there we are around 10%, which is very low where our competitors like 1&1, they are, I think, around 50 or even higher percent. So there, we have a lot of room to grow. And we will close this gap by investing into smart performance-based marketing campaigns. We know how to do this. We already tested this with klarmobil last year, and those campaigns were very successful. We really saw a nice sales impact and also -- and then that's important. So whenever we do brand marketing invest into TV, we do this with a clear sales approach. So we produce our creators always with a clear focus on a product, on a price, which drives sales. So this is a combination of performance and brand. And yes, so also when you look at our websites, so they are getting better step by step, but there's also a lot of room for improvements. Our conversion rates have become or we already have improved them a lot, but there's still a lot of room for further improvements. This will also help us to further increase performance here. So therefore, we see a potential to an uplift of EUR 30 million by '28. Next slide, IPTV. Waipu.tv is a success story, very strong customer base, strong offerings. And besides this, also the advertising business within waipu, it's growing very strong. We see further potential. We have strong partners here. And we believe that we will further grow our subscribers and we will further grow subscription revenues, advertising revenues. And all of that, I think, is really a huge opportunity, and we expect an uplift of EUR 85 million by '28. As I said, here, the market is healthy. Our customer base, we expect that we will grow very nice until '28. So this is reflected or this is due to our strong products, the outstanding product, but also through the market development. If the market itself will grow, we will grow. Therefore, we are quite confident that we can see nice subscriber growth. And we have strong advertising partnerships with RTL, [ ProSieben ]. And besides this, we will also grow in our advertising business.
Ingo Arnold: Yes. Coming to Page 26, I think base information which is relevant when we published the financial ambition for '28, the first time 2 years ago, I think we based it on the EBITDA of '23. Now here, there is a new baseline. The baseline here for this financial ambition is the year 2025. In mobile, yes, we -- Robin already mentioned the plus EUR 30 million, what we see here compared to '25. Here again, we have this negative impact from this MNO agreement. On the other side, we have mobilezone. We have cost efficiency, especially from AI projects. So we see possibilities here to reduce our cost line by something like EUR 10 million. And then from all the initiatives, which we started here and what Robin already talked about, we expect something like EUR 30 million. And this seems possible. We also restarted freenet energy. We restarted freenet fixed net. So I think we -- there are a lot of initiatives. And so we are very confident to reach at least EUR 30 million out of these initiatives in the next years. In IPTV, we slightly increased our ambition compared to what we published 2 years ago. Because what we did that time was only to put into consideration the increase from the subscriber -- from the subscription and from the service revenues. This time, and Robin already showed this, the revenues from advertising, which are increased. So therefore, we increased it here compared to last time. And then in the other holding, there is also an increase compared to the last ambition '28, what we published because of the lower Board salaries. So all in, we increased our ambition from more than EUR 600 million to more than EUR 620 million. And yes, I think it's challenging, but I think especially if we get a solution with one network operator. And if you use it and if you would correct it by this and if we could solve it, then it would be even higher and definitely higher than what we published 2 years ago. Moving to the free cash flow ambition. Yes, I think we have the positive effect from the EBITDA, what I already described. The other items of the EBITDA to free cash flow bridge are more or less unchanged, but we have the negative effect from the taxes. I think everybody is prepared to it because the tax loss carryforward will be -- will fall away in '28, up to the end of '28. And therefore, there will be a higher tax what we will have to pay. So all in, a free cash flow of more than EUR 340 million, which implies a dividend of something like EUR 2.30. And this is still based on the promise that we will pay out 80% of the free cash flow with the addition now what I already mentioned that we pay a minimum dividend or we grant a minimum dividend of EUR 2. And dividend is still the first priority in capital allocation. So no changes here. Second pillar or second priority is growth. And third priority is to do any share buybacks in the future or to reduce the leverage further, but this would not make any sense from my point of view. So therefore, for the last page, I hand over again to Robin.
Robin John Harries: So here, you can see what freenet will stand for in '28. Our 2 strong pillars, mobile pillar. We will -- we believe that we can grow our customer base by doing smart performance-based marketing, reducing churn. And we are implementing AI first and tools and want to have an AI first operating model. So we believe there will be steady profitability, and this will lead to highly cash generating -- this will be highly cash generating. In our IPTV business, so here, we see a very strong second -- core business is developing. We believe we will grow the business up to 3 million users. The advertising will be additional revenue stream, and we believe that there will be an EBITDA of at least EUR 120 million in '28. So all of this, I think it's -- we have very healthy financials, low leverage. We are growing free cash flow. We have a nice dividend policy, which I think is a very healthy and attractive business.
Ingo Arnold: So therefore, we give back to the operator to start the Q&A, please.
Operator: [Operator Instructions] And we have the first question from Polo Tang from UBS.
Polo Tang: I have 3 questions. The first question is just about the MNO shortfall. So you highlighted a EUR 13 million profit shortfall with one MNO contract that could rise to EUR 50 million if you do not meet certain volume commitments. However, do your deals with the other MNOs have a similar structure? And is there a risk of further profit shortfalls if you do not achieve volume targets? Second question is really just about the impact of AI. Do you see a risk of the MNOs becoming more efficient at acquiring and retaining customers, meaning they will be less reliant on independent third-party channels like freenet going forward? Alternatively, if you look at it the other way around, do you see AI as an opportunity? Third question is just on waipu.tv. You indicated that your underlying net adds in 2025 were 150,000. Your mid-term guidance indicates that growth will pick up to 300,000 net adds per annum going forward. But can you remind us what caused the underlying slowdown in 2025? And why are you so confident that the net adds will rebound and improve going forward? And who do you think your main competitors are when you look at waipu.tv? And is Vodafone bundling cable TV for free with broadband having any impact on waipu.tv?
Ingo Arnold: Yes, your first question, I think we have very favorable contracts with the other MNOs. I think it's only one partner where the agreement is as it is. This was done before Robin started. It was done in '24. So I think we -- and both partners now think that discussions do make sense. So also for the operator, it is not a healthy agreement. And I think we are on the same side there. And so with the other operators, no, we do not have comparable risks what we see at the moment. Then I take the third question about waipu. Yes, I think you linked your question to the 152,000. On the other side, what I would do in my calculation is I think we were free to clean up the unprofitable subs. We decided to clean it up by the 88,000. If you would not do so, then we would have something like 240,000, which is not that far away from what we guided and the 240,000 is something like 15% of growth. And this is something what we also see for the future, something like between 15% and 20%. So I think even in a year where we reduced our marketing spending, where we were not that aggressive, it was possible to grow the business by 15%. So therefore, we are optimistic here for the future. The IPTV market is growing. And I think you also asked about bundles. It is possible. We are in discussion here with different suppliers in the market for fiber, for broadband, etc. And so I think maybe -- and also in the mobile area, maybe there it will be possible in the -- maybe in the second quarter to another contract with one of the big players. But I think I do not want to promise anything today. Discussions, negotiations are ongoing. But I think we are -- basically, we are happy now with the waipu base because it is clean. I think we do not have to discuss in '26 about Telefonica customers. We just can show the growth, and we are very optimistic already for the first quarter to be on a relevant growth path again. And then we had this AI question.
Robin John Harries: I'm happy to take it. So for us, AI is an opportunity, it's not a threat. And to be clear here, so when you talk about direct, freenet is direct. Freenet is no comparison website. Freenet is no intermediary. We are direct. People come to us, customers come to us, they book with us, they become our customers. And so we compete like with all the other direct players, the network operators. And when you look at our offering, so we offer all networks and we offer this to very nice prices. So -- and I mean, AI should be smart. And if you look at the benefit of companies and products, I think we are in a very good position to benefit from this. So I see this really as an opportunity because of the very attractive offerings. And we also have a multi-brand approach. It's not just one brand. So we have premium brands. We have brands for pricing. We have budget brands. So we are very well positioned through the offerings of our brands and through the massive footprint that we have in all marketing and sales channels and then through the attractive price and because we are direct, we are no intermediary, no comparison website.
Operator: The next question comes from Ulrich Rathe from Bernstein.
Ulrich Rathe: 3 questions for me as well, please. So again, on the MNO contract, could you talk a little bit about when this became apparent during 2025? It sounds like this became apparent only during the fourth quarter. How is that possible? I mean, the market trends have been unfolding throughout the year. So it's a bit difficult for us to understand how only in the fourth quarter you suddenly see something developing that costs you EUR 13 million this year and EUR 50 million next year. That will be -- and with regard to the mitigation for this issue, is there a precedence for such a contract renegotiation? Or are there any other reasons for confidence you can give us that the renegotiation would be successful? My second question is on the waipu outlook for 2028, which you have raised. Could you talk a little bit about your level of visibility here in terms of the customer revenue and margin outlook? I mean, there is -- it is very optimistic, but I suppose I'm trying to sort of gauge to what extent you're guiding for things that you feel are very achievable compared to sort of a little bit like a moonshot kind of guidance on waipu. And my third question, if I may, you pointed to a voice robot launch in the context of this better customer value management. Now my question on that is, why would be an AI robot, a voice robot be better at customer value management than engaging with a person? I understand why AI is cheaper. I also understand why it might help your sales force to put the right information in front of them when they deal with the customer. But do you actually believe that a voice robot has the ability to manage customer value better than a person?
Ingo Arnold: Ulrich, from my side to the MNO topic, I think at the end of the third quarter, we were still optimistic to have no gap in '25. We already started some discussions with the network operator, but with the former management of it. And so yes -- and therefore -- and I think the conditions what we get for the tariff plans, the margins, this all was not sufficient to promote this network. And therefore, we reduced it during the fourth quarter, and therefore, we saw the effect. So it's -- and now we are in these discussions to make, but to make it clear. And you asked about some -- I cannot give you a confidence level to it, how -- what level -- how the success rate could be of these discussions, what we do have there. But what we -- what I can definitely say is if the discussions would not be possible, then we would also take legal actions against it because we think the behavior of the network was not fair to us here. Then about the waipu outlook, maybe I take it also, Robin, if you're fine. I think it is -- the increase versus the ambition what we gave 2 years ago. The increase is based on the advertising contract what we could close with the big TV channels here in Germany. And on the other side, and it refers to the question of Polo, we think that it is possible even on the reduced base what we see today to increase the customer base to 3 million customers up to the end of '28. And this is also -- this is another effect. If you have more customers, then your advertising revenues are also higher. And if you have more customers, definitely, your service revenues are higher. So I think we did the calculation. And yes, it works if we have the increase by something like 15% to 20% in the customer base year-by-year. And this looks for us -- and I think this is the key to the ambition here. But I think I tried to make clear already with Polo's question or with the answer to Polo's question that even in a year where we focused on EBITDA, it was possible to grow the base by something like 15%. And so I'm optimistic that this could also work in the future.
Robin John Harries: And related to your question regarding the voice bot, so it will be an AI voice bot. We will start the first test this month in our service line. And you -- so normally in the service line, you get many requests that you could also answer if you go through the FAQ section. So at the beginning, we are building our knowledge base. This is important. So this is the fundament for the AI bot. And so the benefits of the AI bot is that it's available 24 hours, 7 days. It's very efficient in terms of cost. It has a huge knowledge base. So the knowledge is -- I mean, it's huge, so it can answer many, many questions. And it's continuously improving and learning. So calls will be transcripted, they go back into the machine, they will learn, they will develop. The AI bot will also do sales after service afterwards. So for example, if like by the way, her name is Ginnie. And if you, for example, have a service request, you talk to the very friendly Ginnie. So afterwards, she might ask you, okay, now that we've solved your problem, I see that you also have 2 kids. And may I also offer you like a family card for your kids, stuff like this. And I think this is -- that's the future, and we have made huge progress during the last weeks, months with also with the help of external consultants. And that's a huge workforce here internally is working on this. And I'm sure that we will make a big step forward this year.
Operator: We have the next question from Florian Treisch from Kepler Cheuvreux.
Florian Treisch: I have to ask a question on the MNO agreement. My one is on the EUR 50 million headwind you mentioned. I think in your remarks, you phrased it as a worst case. I just want to double check. Does it really mean EUR 50 million is the absolute worst case in a way it cannot get lower? And what is, to be fair, a base assumption we have -- we can make for '26, i.e., a lower number than the EUR 50 million you have mentioned? The second one is on mobilezone. Can you give us a feeling what is the implied EBITDA contribution in '26? And are you expecting already a net positive synergy effect, i.e., after the integration cost in '26 or is it something more likely for '27? And the last one, you just mentioned that you are restarting freenet energy, the broadband operations. I mean there was a reason to shut it down in the past. What has changed here?
Ingo Arnold: Florian, your answer about the worst case, I think what is the worst case in the world? I think, yes, I would say from -- and I called it worst case and I mean it is a worst case. We do not know what happens in the world. But if the framework is as it is today, yes, it's definitely a worst case. I think there is only a possibility to optimize it. And therefore, definitely, it is a worst case, EUR 50 million. Mobilezone, I think for the year '26, we used an EBITDA of EUR 25 million. We have not calculated or put into consideration any synergy effect. I think the team is working hardly to get synergy effect. And so yes, there is an additional chance. But yes, I would support your idea that it makes more sense to show the synergies or to get the synergies then in '27. I think that we'll -- we will start in '26. We will -- there will be some low-hanging fruits. This is what we already saw. but we have not calculated these synergies. I think we have to get more knowledge of the business of mobilezone. We just started at the beginning of January to discuss with all the operating with the finance people. So I think it is too early to put any synergies in our forecast, but I'm optimistic that we will have some. And so there will be additional chances definitely compared to the plan for '25 and for our guidance.
Robin John Harries: Yes. And related to the other products, broadband and energy, so we are on it. We are calculating cases. We are talking to partners. So for us, that I think it's obvious that it makes a lot of sense to sell broadband and fiber. So we have a strong footprint with our owned shops, almost 500 in very good areas. And if you want to sell broadband, it's important that you have a face to the customer, that you can talk to them, that you can explain them about the process, how to get fiber in your home. So that's the opportunity. And we are -- also there, we are in discussions with all the important players. They are all very interested in us supporting them. You can see that for all of them, fiber is, I would not say, a pain, but it's a top priority. And it's really difficult to do advertising and marketing and sales for broadband because you really have to talk to people, explain that to them. And we are there in a very good position. So this is -- it's not so easy to develop the product. So from the IT, from the technical side, yes, broadband is complicated. But -- and therefore, we are looking into solutions, how we can get there, external solutions, internal solutions, talking to partners. So -- but makes a lot of sense. We are quite confident that this will be an opportunity for us. In energy, it's the same. I think it's also obvious if you think about our shops and if customers come to our shop or to buy a mobile, so then it also makes sense to ask them, okay, where do you buy your energy? And if you have a good offer, so why would you or why shouldn't you try to sell this as well? So I think this is something where at the moment we are -- where we small, tiny, but we are working on changing this.
Operator: The next question comes from Karsten Oblinger from DZ Bank.
Karsten Oblinger: I have 2 questions. The first one is a follow-up question on the waipu outlook for '28. So how much of the advertising business with ProSieben and RTL is included in the guidance? So is it EUR 10 million, EUR 20 million? So could you give us a rough idea here? And the second question is related on the new business with 1&1. Could you give us an idea on the magnitude of the business so far?
Ingo Arnold: Karsten, I would say, from the advertising side, as we had an EBITDA forecast or ambition in the last time of EUR 100 million without marketing revenues. Now it is without additional marketing revenues or advertising revenues. Now it is including advertising revenues. So it is something like the EUR 20 million.
Robin John Harries: Yes. And related to the 1&1 partnership. So we started it in Q4. So we started it in the first shops. We selected some shops in order to have a test group. And I mean, for us, it makes sense to sell 1&1 if we get incremental sales. And yes, so the test was successful in the first stage. So that's why we scaled it. We are in the process of scaling this. Overall, I mean, we want to be the place where you get all networks, also 1&1. We want to have an offering for the customer, the best out of all worlds. And so therefore, 1&1 is important for us. But it's also -- I mean, they have attractive products. They have a strong brand. They do a lot of brand advertising as well. That's good. So people know the brand. If they see that they can get it also in our shops, they will come to our shops. This might further increase the frequency. And then on the other hand, Mr. Dommermuth, I mean, he's a smart guy, and it's always possible to make smart deals with him. So therefore, we are quite confident that this can become a fruitful partnership for the future.
Operator: We have the next question from Joshua Mills from BNP Paribas.
Joshua Mills: A few questions from me. I wanted to come back to the MNO shortfall and the rationale you have for how you could renegotiate that contract. So my understanding is that the freenet position is we're not being given the right kind of tariffs in order to meet the volume commitments with an operator, which would be necessary. So if that operator isn't giving you those tariffs and without them you can't hit the target, what levers and what legal backing or support do you have to demand access to those tariffs? I would assume that given you're accounting for the headwind now and you're putting into guidance, there's at least a degree of uncertainty to whether you do have any of those levers. And can you also confirm that beyond 2028, you'll roll on to a new contract with that MNO? And if so, should we expect to see a similar kind of setup or similar headwind? I just really want to understand what your negotiating position is on this if they decide that they don't want to use your services as much going forward? And secondly, you did mention that if the negotiations broke down, you could resort to legal action. Can you remind us what the legal backing for freenet's role as a reseller in the German market is today? I believe it is that MNOs must negotiate with freenet in good faith. But as far as I'm aware, there's no guarantee on paying a certain amount to freenet or giving them access to all tariffs. So if you could clarify that would be helpful. And then finally, on the waipu subscriber guidance, I think comparing to the 2024 guidance update, it looks like you have scaled back the subscriber target somewhat even with the 300,000 run rate, which you're looking for. Is that right? I know there's been some adjustments with the O2 sub base. And I just want to understand whether the better waipu TV EBITDA assumption is in part driven by the fact you expect to deliver fewer subscribers than previously under the old plan?
Ingo Arnold: Maybe I'll start with the waipu question. I think it's still 3 million. I think in the last quarter, we already forecasted something like 3 million as a customer base for 2028. And so there's no relevant change. About the legal actions and possibilities, I do not want to talk about. I think this is something -- I think this is not what both parties want to have. We want to have a solution in the discussions and in the negotiations. But if these negotiations fail, then we have to think about legal possibilities and legal actions. And we see possibilities there, but I think it's -- you would understand that we do not want to talk about it. And I think first priority for all parties is to find a partnership solution. We want to have a good partnership with all networks. And I think we -- in the talks, we see a very good mood. We see that all -- both parties are interested in a solution. So we are very optimistic to find a solution. But I think we have to wait and see what happens. And after -- I think we have to wait what happens after '28. I think we give an ambition and an outlook up to the year '28 and then the other years have to be negotiated. So this is what I can comment on it or what we want to comment on it. I think we have discussed it in depth now. And I think I do not want to give further information about it from our point of view. I think we said what has to be said. And then I think we have -- action has to follow.
Joshua Mills: And maybe just one follow-up. So if we assume that this particular MNO contract expires in 2028, could you just update us on when the other 2 MNO contracts expire? I think one -- another one is in 2028 as well and then one in 2030, but just to get some clarity on that.
Ingo Arnold: I have not said that it ends in '28.
Operator: And we have one question from Siyi He from Citi.
Siyi He: I have 2, please. The first question, I just want to go back on the waipu.tv 2028 guidance. And it's just looking at your guidance for '26, and it seems that there will be a quite big step-up on EBITDA growth for '27 and '28. Just wondering if you can help me to understand why the acceleration? And I think you mentioned that advertising revenue would be EUR 20 million. Do you expect the full impact of that EUR 20 million to start hitting from '27 onwards? And my second question is on the synergies you talked about regarding mobilezone. I'm just wondering you can give us a little bit more details of where are the low-hanging fruit? And also what would be the ultimate situation for you when you're looking at potential synergies with mobilezone?
Ingo Arnold: Yes, I think waipu, I already tried to explain that we saw on an adjusted base, we see already a growth of 15% we saw in '25. And so this is something what we do expect for the following years. The IPTV market hopefully grows again further, then we could grow further. We think a similar market share, stable market share is possible with a very good product what we offer. So I think we are -- it's -- yes, it's a forecast, it's an ambition, but we think this looks possible to us. With the synergies at mobilezone, yes, I think we -- what we did is we had a lot of meetings with the management first, but then we connected all the people who do similar jobs. And so we have a lot of small teams now and they are looking into their business. This is different thing. This is the HR department. This is the marketing department. All departments are talking with each other. And then you have some small low-hanging fruits, you have some bigger low-hanging fruits and then you have the operational business. And on the operations side, sometimes we have the same partners. So we -- it's like scaling the business with the partners. You talk with the partners, what could be possible. We talk with the MNOs, which could be possible, which is their interest, which is our interest. And so -- and also on the side, they have in an Apple contract to buy iPhones directly. This is something what we did not have in the past. So we can use this channel now to buy iPhones, to buy Apple products. And so I think there's a lot of fast development in all these conversations what we do have with all these discussions. And as I said, I do not want to -- I gave you some examples, but I think if we would talk to the teams now, you would have 50 examples where the synergies could be possible. And a lot of them could be get fast. But I think it's too early. I think we will keep you informed in the upcoming quarters. And then I think we will see how it develops. But I think we already have a lot of initiatives which are started. So we are on the way to generate it.
Robin John Harries: Yes. So yes, thanks for your -- thanks for attending this call. I think we are happy about the operational progress. We have many, many initiatives. We have a very motivated team here, and we are working on this and try to deliver step by step. We are not happy about the current situation with the network provider, but we are working on this. And as Ingo said, we are in fruitful discussions. Both parties share the view that we have a sick agreement there that we need to change it, that we have to work on a new agreement. We are doing this. But yes, I see like many, many opportunities, and I'm really happy to be here in this company. It's a lot of fun. We are working on this. And yes, thanks for your time. Wish you a great day.